Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2008 Nu Skin earnings conference call. My name is Madge [ph] and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session towards the end of this conference. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Scott Pond, Director of Investor Relations. Please proceed, sir.
Scott Pond: Thanks, Madge. We appreciate you joining us. With us today are Truman Hunt, President and Chief Executive Officer; Ritch Wood, Chief Financial Officer; Dan Chard, Executive Vice President of Distributor Success; and Joe Chang, Chief Scientific Officer. During this call comments maybe made that include some forward-looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. We encourage you to refer to today's earnings release and our SEC filings for a complete discussion of these risks. And with that, I will turn the time over to Truman.
Truman Hunt: Thanks, Scott, and good morning everyone. We appreciate you joining us today. Despite the dark clouds that permeate economic news recently, we're pleased to report solid operating results for the third quarter and we're also pleased to project a bright future for Nu Skin Enterprises. As our release indicates, we generated record third quarter revenue and remain on track to have a record revenue year in 2008. Quarterly revenue of $310.3 million represents 7% increase over the prior year period puts us on a trajectory to close the year strong and gives us great momentum as we head into 2009. Note that currency cost us about $10 million sequentially from Q2 to Q3 on the top line so we're really pleased with top line results for the quarter. Earnings per share were $0.26 versus $0.21 in the third quarter of 2007. Excluding $0.08 of primarily non-cash foreign currency translation expense earnings per share would have come in well above the guidance we previously provided. Wide swings in currency against the U.S. dollar had a significant non-cash impact to EPS which Ritch will walk you through in a moment. While we obviously would prefer to avoid getting stung by currency volatility, we're pleased that our growing global diversity will help offset the impact of currency swings in the future. We posted solid results in almost all of our regions in the third quarter. Virtually, all of our markets are showing improved performance with standout markets including the U.S., Canada, Latin America, Europe, South Korea and Southeast Asia. These markets have been consistently posting healthy double-digit gains and we believe this will continue. Our personal care brand continues to lead the charge as evidenced by a 30% improvement over the prior year. This growth is driven by the continued surge in sales of the galvanic spa system and its associated skin care products. This remarkable product reported $45 million in sales for the quarter representing 180% growth over the prior year. Last week, we added fuel to the fire that the galvanic spa has created. At a highly successful distributor convention for the Americas in Europe region, we introduced galvanic spa treatment gels that incorporate our new patent pending ageLOC technology. Those who have followed us know that we are elevating the attack on the aging process by focusing our efforts on the sources of aging as opposed to just addressing the signs and symptoms of aging which is where the rest of the skin care nutrition worlds are focused. Our R&D team working with researchers at Perdue University, have isolated an enzyme called arNOX that is a key contributor to the aging process. arNOX activity accelerates rapidly as we age and our new galvanic spa facial gels incorporating ageLOC technology will slow the age causing enzyme at its source. Based on the initial response to this introduction, we're confident that our focus provides a compelling competitive advantage for our distributors. We look forward to presenting to our shareholders where we are headed in the future with this ageLOC platform and at investor day presentation on December 4. During the regional convention I also had the opportunity to spend time with many of our distributor leaders and once again feel their enthusiasm and drive for the Nu Skin business. In a world that's full of a lot of doom and gloom right now, it's refreshing to be associated with a group of highly energized optimists who leave us feeling confident about the future for several reasons and I'd like to just share a couple of those reasons with you today. First reason for our optimism is the Nu Skin Enterprises is a financially stable company. Throughout our nearly 25-year history, we've operated with conservative financial principles and we haven't borrowed heavily or relied on credit to grow our business and we have worked hard over the past couple of years to improve profitability. This means that we're well-positioned to continue to invest in growth while maintaining our dividend streams. Second, during times of economic turbulence direct selling companies can do very well. I know this sentiment has been echoed recently by some of our direct selling peers. There is several reasons for this direct selling phenomenon, but for Nu Skin specifically, I think they can be boiled down to a few key factors. First, what marketers call the lipstick effect indicates that people continue to invest in their appearance even in times of economic hardship. Personal care and beauty products are generally viewed as necessity items around the world. This bodes well for Nu Skin and for our strong skin care portfolio, particularly, with the current energy around the galvanic spa system which is an in-home and very economical alternative that provides visible benefits previously available only through high priced spa treatments. Secondly, during tough economic times people look to direct selling for supplemental or replacement income. With Nu Skin's proven track record and generous compensation plan, we're seeing very high quality and highly motivated people joining our sales force. Third, we are uniquely situated to provide compelling products in both of the key anti-aging product categories, skin care and nutrition. Our business is roughly equally weighted between these two categories whereas other direct selling companies are – tend to be 90% one or the other. Our product strength in both personal care and nutrition helps us maintain a competitive advantage particularly in today's environment as consumers become increasingly aware of the connection between nutritional health and beauty. Fourth, we're entering this period of economic turbulence with some winds in our back. In the fourth quarter of 2008, we anticipate growth north of 20% in the U.S. and local currency growth north of 25% in South Korea and north of 50% in Europe, Canada and Latin America. So this momentum will help us fare better than some of our competitors will. Finally, I'm pleased with the progress our team is making to improve profitability. We're seeing the benefits of the business transformation efforts we initiated about two years ago. These benefits are evidenced in the year-over-year improvements in both our selling expenses and our G&A expenses. In 2009, we will continue to become more efficient to secure further operating margin improvement. I know that many of our shareholders are looking for improvements in Japan and China, in particular, so let me just comment on these two markets briefly. We're moving ahead with the fourth quarter introduction of the galvanic spa to sales leaders in China with the general launch of the spa in the first quarter of 2009. We are more positive today about improving activity in China than we have been in the past couple of quarters. Trends are headed in the right direction. Galvanic is being highly anticipated in China and will be a catalyst for growth. So we are on the right track in China and expect to see growth in this important market in 2009. Our Japan business is stabilizing. Our strategy for Japan is essentially to do the same things there that are working so well everywhere else with a focus on distributor recruitment which is the first step in business growth. We have seen improving recruiting trends sequentially and we saw distributor recruitment tick up in September on a year-over-year basis for the first year-over-year improvement in some time. So this bodes well for the future. And when we look at Nu Skin sales, in particular, in Japan, Nu Skin sales are up year-over-year, a sign that the galvanic spa is taking hold in that market as well. Now the environment for direct selling in Japan remains difficult, but we are making progress and we will see improving trends as we move into 2009. Other significant activities in the fourth quarter will include the opening of the Czech Republic which has been a solid direct selling market and the launch of Tru Face Essence Ultra in South Korea which will enable us to continue strong growth in that market. Tru Face Essence Ultra is the number three Nu Skin product globally that grew about 72% in the third quarter over the prior year. So this launch in South Korea will enable us to continue healthy trends there. Okay, with that, I'd like to turn now the time over to Rich to provide some color on the quarter's results.
Ritch Wood: Thank you, Truman. Good morning, everyone. Here are the local currency revenue figures in our major market. In the north Asia region third quarter revenue in Japan was 11.2 billion Yen compared to 12.8 billion Yen in the same quarter of 2007. Quarterly revenue in South Korea was 40.7 billion Won versus 31.4 billion Won in the prior year. In the Americas, the U.S. posted $48.5 million in revenue compared against $47.2 million in the prior year and note that in the prior year the U.S. revenue included $5 million of convention purchases by international distributors. Canada reported 4.5 million CAD in the quarter compared to 3.2 million CAD in the prior year and Latin America revenue was $4.5 million compared to $2.2 million in the prior quarter. In our greater China region, mainland China revenue was 104.3 million RMB during the quarter versus 119.9 million RMB in the prior year. Quarterly revenue in Hong Kong was 102.5 million HKD compared to 91.2 million HKD in the same quarter last year. And Taiwan revenue was 718 million NT compared against 805 million NT in 2007. Our gross margin for the quarter was 81.7%. This is mostly even sequentially and approximately 40 basis points lower than the prior year. As we have discussed in prior quarters, the year-over-year decline is attributable to a revenue shift this year from Japan which has higher gross margins to markets with slightly lower gross margins as well as the increase in the galvanic spa unit sales which have a slightly lower gross margin than the rest of our personal care products. Selling expenses for the quarter were 42.6% compared against 43.1% in the third quarter of 2007. Improvements here are a result of management's compensation plan reengineering modification made in numerous markets as part of our ongoing transformation efforts. G&A expenses for the quarter were $90.9 million or 29.3% of sales compared to 32.3% of sales in the prior year period and prior year overhead included approximately $5 million of convention related expenses. This 300 basis point improvement can be primarily attributed to management's transformation efforts over the last 2.5 years and a lack of a major convention in the current year. The company's operating margin was 9.8% for the third quarter. That's a 320 basis point improvement over the prior year. During the quarter we sustained a net expense of $8.3 million in the other income expense line of our income statement. Let me try and break this out and explain it a little bit in more detail. $1.6 million of the $8.3 million is net interest expense for the quarter and the balance of $6.7 million is related to currency movement. This expense related to the translation of intercompany balance sheet accounts into US dollars at the end of the quarter. As you know we have used our Yen denominated debt in the past with a natural hedge against our Japanese revenue stream. In addition, this Yen denominated liability is also used to offset intercompany receivable balances between Nu Skin's US subsidiaries and our various foreign market subsidiaries. Near the end of the third quarter, we experienced some rare currency moves including the strengthening of the yen against the dollar while the dollar strengthened against most other currencies. Therefore, we incurred an expense associated with the strengthening of the dollar against our foreign denominated receivable balances, but because the yen did not move in the same direction as the other currencies, we did not have an offsetting benefit with our yen denominated liability. So this translation of expense cost us $0.08 in the quarter. We're taking steps to minimize the impact of unusual currency swings in the future including seeking long-term accounting treatment for a portion of these receivables. This foreign currency expense is not an operational expense and will reverse if the dollar weakens back against these same currencies. Our tax rate for the quarter was 24% compared to 30% in the prior year and that's slightly better than the guidance we provided. The lower tax rate is attributable to the FIN 48 tax reserves that were released during the quarter. And during the quarter we paid $7 million of dividends and repurchased $1.6 million of company stock. Now as we speak to the fourth quarter, giving specific guidance is quite complicated due to the dramatic swing we've experienced just recently in foreign currency. Generally, as a management team, we try and provide as much transparency as possible to our analysts and shareholders as it relates to our thinking in the modeling of our business and we will try and provide the same level of transparency here. By giving an EPS range would require us to be accurate in forecasting where foreign currency spot rates will be on December 31st. Since this is not possible or prudent, we will provide guidance on the operations of the company but not provide an earnings per share estimates for the quarter. So with that backdrop, here is the guidance we feel like we can provide. Our business from a top line standpoint continues to perform very well. At the beginning of 2008 we were growing the business approximately 3% on a local currency basis and that rate has accelerated to approximately 5% in the third quarter. And we would expect that local currency revenue growth rate to continue or slightly accelerate here into the fourth quarter. To-date this year we have enjoyed approximately 5% foreign currency benefit when compared to 2007 on our top line. However, given where currencies stand today, we expect currency to negatively impact our revenue approximately 3% to 5% in the fourth quarter which would put our U.S. dollar reported revenue in the $307 million to $312 million range. While the dollar has strengthened significantly against many currencies around the world, we're fortunate that the yen has strengthened quite a bit against the dollar in the recent two weeks which has helped to offset the balance and – offset and even balance the overall currency impact to our revenue and operations. We expect gross margins and distributor incentives to hold fairly consistent with the current trend therefore on the 81.6% to 81.8% range for gross margin and 42.5% to 42.7% range for distributor incentives in the fourth quarter. In U.S. dollar terms, we would anticipate overhead expenses to be approximately consistent with the third quarter as well. We expect net interest expense will also be consistent around the $1.6 million level for the third quarter and foreign currency gain or loss will be dependent upon where foreign currency spot rates end on December 31st. And then the tax rate will return to historical averages of approximately 38% in the fourth quarter. The third quarter foreign currency expense is disappointing as it masks possibly the best quarter in our history and I'm very encouraged by the geographic diversification of our business by the strengthening cash flow, a 57% improvement in operating margin which is indicative of the improvement we're making to streamline our operations and increase our profitability and the growth and improving trends we see in virtually every one of our markets in which we operate. Our balance sheet is strong and we will enter 2009 with momentum. We believe we are well-positioned for the future and are in a solid position to drive shareholder value going forward and we look forward to sharing more of our thoughts with you on December 4th in New York City at our Annual Investor and Analyst Day. We invite you to join us there and if you're interested, you can contact Scott Pond who is our Director of Investor Relations. We will now open the call up for questions.
Operator: (Operator instructions) Your first question comes from the line of Simeon Gutman from Goldman Sachs. Please proceed.
Simeon Gutman – Goldman Sachs: Hey, this is Simeon. Regarding Japan if I'm not mistaken on the last call you mentioned that sponsoring was trending up over the last few months and I was at that time. I just want to reconcile that comment with what happened to the third quarter active and executive counts for North Asia, which if you just look at the pure count number, they both sequentially declined from the 2Q. So I'm just curious what's happening there. Is sponsoring starting to increase but retention is going the other way? Or is there a country in there that's skewing the results a little bit?
Dan Chard: Yes, Simeon, this is Dan Chard. I think the comment last quarter was related to the number of distributor agreements and that is trending up. We said last year in our investor conference the first thing we needed to do to restore growth to Japan was to change the mix from a customer focus or preferred customer focus to distributor focus. So we're actually from a distributor standpoint, up double digits even though our overall distributor – our overall active number is down. But in the most recent month which Truman mentioned, our total distributor agreements were up 0.6%. So we've shifted the mix from preferred customers to distributors even more dramatically right now. Our distributor mix accounts – distributor agreements account for 90% of the total agreements that come in versus year ago were about 74%. So we're seeing the right trends in terms of mix.
Simeon Gutman – Goldman Sachs: Right. In that regard, the sequential change though is still important though, correct? Not just the year-over-year?
Truman Hunt: Yes, the sequential trend is important, Simeon. This is Truman. I just wanted to point out that the active number that we report includes both distributors and customers who are on ADP. And so we have seen our customer base was on the automatic monthly shipments you wrote a bit over the course of last year as we've focused more attention on distributor acquisition and distributor sign-up. So that shift from distributor – from customers to distributors also skewed the active number a bit.
Simeon Gutman – Goldman Sachs: Okay. And then on the topic of maybe trying to detect any patterns and changes of spending, I'll just take a couple of examples, I don't know if these are relevant. In the Americas, again on a sequential basis, the active counts were down, but the executive counts were up. Does that tell us anything or is that not a good read as far as a slight sequential lowered appetite to purchase products, but still a good environment for recruiting? I don't know if there is anything you can look at with regard to galvanic spas, whether or not they are purchased as a new executive or they are purchased to many pure retail customers?
Truman Hunt: I think that in the U.S. in particular, everyone is going to be asking the question whether economic environment is having an impact, negative impact on our business and consumer spending, in particular. And as you point out, given the fact that our actives were down a bit. We think that the fact that actives were down a bit is a reflection of some seasonal terms more than it is a reflection of economic impact. And as I indicated in my remarks, we expect fourth quarter growth rate in the U.S. and the Americas region to be north of 20%. Again, we're seeing really healthy distributor activity in the United States, in particular, and so far frankly the opportunity side of our equation is offsetting any pressure on consumers.
Simeon Gutman – Goldman Sachs: Okay. And then maybe for, Rich, on the Forex items. If all else was equal absent the receivables piece of the equation, given what's happened in the fourth quarter so far with the yen strengthening further vis-à-vis dollar, that will help the operating part in terms of translate the economic piece, but you would still then have to mark up the yen denominated loss. Is that correct?
Ritch Wood: That is correct.
Simeon Gutman – Goldman Sachs: Right. And then the receivables piece has to do with what the – I guess the cross currency between the yen and other currencies that you are in?
Ritch Wood: It's actually there is four primary markets that it relates to and it's Europe, Australia, Russia, South Africa. These are markets where we have receivables from our U.S. company to these markets. In Europe and Australia's case, because they were unprofitable for several years and belt up [ph] receivable Russia and South Africa are new markets where we loan money into the market to get the operations going. If you look at the currency rates on those markets, Europe going from about 158 down to about 130, Australia going from 105 to about 150, Russia moved about 10%, South Africa went from somewhere in the 7 range to 11 range on the currency there. Those markets – that intercompany shift or that – as we translated that back into U.S. dollars is what caused the bulk of the $6.7 million loss. So depending on where those four currencies primarily land will depend on where this translation gain or loss ends in the fourth quarter.
Simeon Gutman – Goldman Sachs: And then how long is that instrument in place for regarding the receivables piece?
Truman Hunt: The other markets don't really have receivable balances because they pay them off currently. Europe, Australia, Russia they're paying them back now as we've gotten those mark-to-markets to a profitable stage. But it will take time. They've built up some balances. There is different ways to get money in and out of the market, but by having a loan there, easy to bring the money back out. And so the question is do you want to take away the loan? Do you capitalize it? There are other things we can do. It's always worked out to where we have kept our receivables and liability balance with the yen denominated debt fairly equal. So as the yen strengthens – let's say as the dollar strengthened against all currencies, generally, those netted out or the dollar would weaken and again the offsetting benefits and detriments would offset each other. But in this case the yen did not weaken against the dollar. The other currencies did and so it's kind of went both ways against it. This will reverse in time or else it's a non-operational issue. But if the dollar were to weaken back up a little bit against some of these currencies which most people predict will happen here coming into the next 6 months to 12 months, then that expense that we had here would reverse and come back in again going forward.
Simeon Gutman – Goldman Sachs: And the 10% operating margin goal that was stated in the press release, was that 4Q or full year?
Ritch Wood: No, that for the fourth quarter. Maybe I could just clarify a little bit on our guidance in the fourth quarter. The operations continue to perform just about exactly as we would have anticipated months ago. From a currency standpoint, we were forecasting a 3% to 4% benefit in the fourth quarter as you look back few quarters ago. We're now taking that to a negative 3% to 5% currency impact. So there is basically a shift at somewhere between 6% and 9% in currency or about $20 million to $25 million in top line revenue. From a local currency standpoint, we haven't changed any expectations for the markets. They continue to perform where we anticipated they would and that is the difference in operating margin – the currency change in our guidance is the difference and really the only difference in the guidance as we look to the fourth quarter.
Simeon Gutman – Goldman Sachs: But the 10% operating margin still includes whatever impact – that whatever – $20 million to $25 million of incremental revenue or lack thereof will have on some of the operating items as well, correct?
Truman Hunt: Yes, that is correct.
Simeon Gutman – Goldman Sachs: Okay. Thanks.
Operator: Your next question comes from the line of Doug Lane from Jefferies & Co. Please proceed.
Douglas Lane – Jefferies & Co.: Yes, hi, good morning, everybody.
Truman Hunt: Hi, Doug.
Douglas Lane – Jefferies & Co.: Just simplistically, Rich, it sounds like – I understand the hedge. So you have an asset basically on those four currencies and then a liability on the one currency, Japan. So if Japan was down on the same magnitude as those four currencies, they would have offset. What happened was Japan stayed flat, the four currencies that are on the asset side went down, so you had the negative hit to your other income, right?
Ritch Wood: That is right. I went back and looked. I have now been the CFO, this is my 25th quarter doing this. We have never had a shift from intercompany hits like this with the exception of the yen which sometimes on the translation of the debt would be different. But generally the intercompany has offset and never been larger than $1 million. So these aberrations that happened in the third quarter are unique. We don't anticipate that they will continue going forward. Things will settle in and economics will start to be the prevailing factor we believe as currencies are determined. But yes, it's just a real aberration in the quarter. The non-cash issue that hit us this quarter (inaudible)
Douglas Lane – Jefferies & Co.: Right. And it's been a wild currency market, but the reality is those currencies in particular, were particularly weak, particularly the Australian dollar, South Africa, the ruble. But they stabilized now and unfortunately the yen's gone up. So you're going to have kind of the opposite situation in the fourth quarter where you could have an 11% appreciation in the yen and know all set on the liability side – on the asset side at least where we stand today. Obviously, anything can happen between now and the end of the quarter. But isn't that fair at least as we stand today that you could get another nickel or so on the liability side because the yen's up 10% or 11% versus the dollar?
Ritch Wood: Yes, that is a possibility. That would also benefit our revenue for the quarter so. It would also cause our guidance we haven't forecasted a yen of 95 for the fourth quarter, but it would also benefit our revenue and our operations to some extent.
Douglas Lane – Jefferies & Co.: Yes, fair point. What is your yen assumption for the fourth quarter on the revenue side?
Ritch Wood: About 100.
Douglas Lane – Jefferies & Co.: 100. Okay. I got that. Now in China we have seen now little step down in the third quarter from the second quarter and the second quarter was a little lower than the first quarter. What do you think it's going to take to get the numbers to start moving up sequentially in China? Do you think that can start in the fourth quarter or should we look for that as 2009 progresses?
Truman Hunt: I think, Doug, you're going to see some improvement in the fourth quarter and you're going to see further improvement in the first quarter of '09. There was a huge appetite that's pent up as Chinese sales leaders have seen the success that we're having around the world with galvanic. We are launching galvanic to those leaders in fourth quarter with the general launch in the first quarter. But, frankly, we will go through our 2009 plans on December 4th, but we anticipate healthy growth in China in the second half of '09.
Douglas Lane – Jefferies & Co.: And the galvanic spa really is the key catalyst here. Where are you in your store count in China and the outlook for the store count going into 2009?
Truman Hunt: The store count hasn't changed much. As we have indicated in the past call or two, we're in the process of reformatting the look and feel of our stores, opened another one of what we're calling our image stores in Guangjo [ph] here in the fourth quarter and we will continue to open a few more in the first and second quarter of next year. But the store count isn't having major impact on business trends right now there.
Douglas Lane – Jefferies & Co.: So you're really looking towards new product launches to drive the day going forward in China?
Truman Hunt: Right. New product launches as well as just some tweaks to the connection between our direct selling business model and our employee sales force business model which we are smoothing out and refining and making the two sides of the distributor equation more synergistic.
Dan Chard: And Doug I would just make one other comment too. We've really made dramatic progress on the profitability in China. The revenue I think has been a little bit secondary in the first half of this year as we have tried to really fix our operations. And we just look a lot different from an operational side this year. We lost about $13 million last year, expected to lose kind of $3 million to $5 million. This year we will be ahead of that. We will actually be nearly at breakeven for the year. And so we've made dramatic improvements. We feel like the foundation is now set and we can begin to market the business for growth and that happens really beginning here in the fourth quarter as we roll out the galvanic spa.
Douglas Lane – Jefferies & Co.: I got it. That's important. Lastly, opening the Czech Republic in Eastern Europe, can you remind us what are your key markets in Eastern Europe and where are the big holes that we can look for to be filled in, in 2009 going forward?
Dan Chard: Our key markets right now are Hungary, Russia and Slovakia. So the Czech Republic will be added to those and we have a lot of energy among our distributors for expanding out into those surrounding markets there. So we think that Eastern Europe is going to be the big growth driver for us in the future.
Douglas Lane – Jefferies & Co.: Didn't you make an acquisition in Poland?
Dan Chard: You're right. Poland is the other one. Poland has been in our – part of Eastern Europe for quite some time now. Poland is looking out (inaudible).
Truman Hunt: Doug, let me just add with respect to Eastern Europe that, as you know, Russia is the largest direct selling market where we really have had yet to catch a gear, but fortunately we're seeing some good trends in that market right now. And the other really compelling market for direct selling where many of our competitors are really rock [ph] and it's Turkey and we will look to open that market in 2009.
Douglas Lane – Jefferies & Co.: Okay. Thank you.
Operator: Your next question comes from the line of Olivia Tong from Merrill Lynch. Please proceed.
Olivia Tong – Merrill Lynch:
Truman Hunt: The key, Olivia, is that the markets that are growing at the healthiest rates, Eastern Europe, for example, north of 50% local currency growth, growth is showing no signs of slowing. Just really terrific dynamics there right now with huge appetite for opportunity including notably in a country like Hungary which is experiencing no small amount of economic turbulence itself right now and despite that turbulence our business is just on fire there. So it's really continued healthy growth in Europe, 20% plus growth in the United States, 25% plus growth in South Korea, Southeast Asia is also growing at healthy double-digit rates. So it's just continuing those trends while seeing modest improvements here in the fourth quarter and the countries that have really hurt us over the course of the last couple of years. China and Japan that give us confidence that we can continue the 5% growth rate in the fourth quarter.
Olivia Tong – Merrill Lynch: Can you remind us what's the breakout in Europe between Western versus Eastern Europe?
Dan Chard: We actually break it into three regions, North, Central and Eastern Europe. And as a breakout, I think Central Europe is approximately 40% and Eastern Europe is about 30% and Northern Europe is about 30%.
Olivia Tong – Merrill Lynch: Got it. Okay. And then Ritch, can we talk a little bit about gross margin? You guys are pricing a couple of months ago; sort of break down the change in gross margins between price mix, FX, any other major factors.
Ritch Wood: Yes, the major factor really is the shift from Japan over to some other markets. As Japan's declined, its impacted our other markets. Our two highest gross margin markets are China and Japan which happened to be the two markets that have been eroded a little bit this year. Having said that, I'm actually very optimistic about the direction we're going. We have great commitment from our market managers to continue to improve gross margin. We're making good progress on our galvanic spa which used to be as we started this year about eight points lower in gross margin than our weighted average personal care line. We have closed that gap to less than five and possibly by the middle of next year we will even have the galvanic spa unit at a gross margin at par almost with the rest of the business. We made good progress here in the U.S. over the last couple of years which has been one of our lower gross margin markets. So we're making good progress but I would say 75% of the reduction in gross margin is related to the shift in revenue away from these higher margin markets into lower margin markets balances the galvanic spa unit. We're making headway I think in both of those fronts and so I look for gross margin to hold stable with where we're at. We don't see it eroding a lot and then as we come into next year, we will have another price increase that would be scheduled for April. We think we can continue to make progress in this area.
Dan Chard: Let me just add to that, that with the exception of the galvanic spa gross margins on the personal care side of the business are better than on the nutrition side of the business, so as we skew a bit to the personal care side of things, gross margins will also be positively impacted.
Olivia Tong – Merrill Lynch: Got it. And given the more difficult environment now, are you seeing any pushback on that April 1 price increase that you took already?
Truman Hunt: No, we really haven't seen any push back in that price increase.
Olivia Tong – Merrill Lynch: Got it. Just moving to Pharmanex with sales down 10%, can you talk about – that's a pretty big shift versus the previous run rate of sort of flattish. Can you talk about what drove that in Q3?
Truman Hunt: It's just purely distributor focus and attention on galvanic and on the personal care side of the business right now. And as I indicated in my remarks, Nu Skin sales are actually up in Japan year-over-year as a result of that focus which is obviously being offset by an erosion on the Pharmanex side of things. But overall, Olivia, we're fairly agnostic where revenue comes from. And so we're not overly concerned about the erosion in Pharmanex because it's being more than offset by growth on the Nu Skin side.
Olivia Tong – Merrill Lynch: Got it. Thanks very much.
Operator: Your next question comes from the line of Scott Van Winkle from Canaccord Adams. Please proceed.
Scott Van Winkle – Canaccord Adams: Thank you. Truman, you mentioned in your comments that some of the trends in China were moving in the right direction. I think you answered Doug's question about maybe a little pickup in the fourth quarter and more so in the first quarter of next year. Are there specific trends in China? I don't think I heard what specifically you're kind of alluding to that other than excitement over galvanic spa?
Truman Hunt: That's really – the galvanic spa is the stimulus that has generated sales leader enthusiasm there. And so galvanic is the stimulus while our manager there, Andrew Fan, has worked his tail off over the last couple of years really trying to lay a solid foundation on which we can grow. And a lot of the work that he has done behind the scenes in working with people one-on-one is work that's frankly hard to even explain to shareholders and to the Street. But we just feel like he has put and he is putting the final touches on a solid foundation for growth. And we're close – we're real close to being in a position where we can start to grow that market at a (inaudible) rate and we will start to see that happen over the next three quarters.
Dan Chard: I would just mention too from an indicator side, our executive count now is even on a year-over-year basis even though our revenue is down a little bit. And we are seeing some – lot of interest in Chinese sales leaders purchasing products in Hong Kong. So part of the 13% growth we reported in Hong Kong is due to the fact that you can't get the galvanic spa in China but it is available in Hong Kong, some of those purchases are happening there. So I really think the China market – the improvements there are masked a little bit because of that, but that mask should start to come off as we launch the galvanic in the fourth quarter.
Scott Van Winkle – Canaccord Adams: Great. Thanks. And I didn't hear any talk about the macro environment in Japan for direct selling. Has there been any changes in the broader trends for not only you, but the rest of the direct sellers in that market?
Truman Hunt: The environment remains difficult and frankly, it has probably worsened over the course of the last quarter versus where it was in the first half of the year. There have been further media reports that have not been positive for direct selling generally, and in fact the one that I'm referring to specifically had to do with a local politician who ended up resigning from his position as a result of an affiliation with direct selling companies. And that kind of thing is not good for business and so, frankly, Scott, the environment remains difficult.
Scott Van Winkle – Canaccord Adams: Great. Thank you very much.
Truman Hunt: Okay.
Operator: (Operator instructions) And your next question comes from the line of Rommel Dionisio. Please proceed.
Rommel Dionisio – Wedbush Morgan Securities, Inc.: Hi, good morning. In your prepared comments you talked about some stabilization in Japan and some potential improvements in China in the fourth quarter. Can you just talk about maybe in terms of a monthly or even weekly sequential basis during the third quarter and in the first few weeks of October, did you see some improvement in China, for example, that would lead you to believe the fourth quarter may be up?
Truman Hunt: Rommel, I'm not sure that I understand the question entirely. I'm having a hard time hearing you, but –
Rommel Dionisio – Wedbush Morgan Securities, Inc.: Sorry, did you see some sequential improvements as the months went along in China during the course of the quarter and through October?
Truman Hunt: We have seen sequential improvements and that is one of the reasons for our optimism.
Rommel Dionisio – Wedbush Morgan Securities, Inc.: Okay. That's good to hear. Also just a follow-up, Ritch, in an earlier question, you talked about gross margins. Could you just talk about the impact that input costs had in there? It sounds like a moderating price environment for those and did you see some benefit for that in the third quarter and the outlook for that going forward?
Ritch Wood: Yes, we did see a little bit of pressure on input costs I would say starting maybe a year ago. We offset that with the price increase that we did in April. Since April time frame, I don't think we have felt a whole lot of change right now and hopefully things have settled down just a little bit. But I don't anticipate significant input cost increases moving forward here in the next 6 months to 12 months.
Rommel Dionisio – Wedbush Morgan Securities, Inc.: Okay. Thanks very much.
Operator: Your next question comes from the line of Amy Greene from Avondale. Please proceed.
Amy Greene – Avondale Partners: Hi, guys.
Truman Hunt: Hi.
Amy Greene – Avondale Partners: Quickly, in the U.S. market have you begun to see some of that shift from the spa appliance to the gels that you've talked about that kind of – in that two year period?
Dan Chard: Yes, we absolutely have. Used to be that about – generally when the market just starts off, about 70% to 80% of the volume comes from the unit itself. We see that shift, for example, in a market like Europe where the unit has been a strong seller for the last three years. It's actually more than 50% now in gel. So we are seeing that shift in the U.S. as well and particularly, with the launch of the ageLOC in the gel here a week ago, that will continue to drive the gel side of the business. But certainly, we are seeing that shift as we move forward.
Amy Greene – Avondale Partners: I know that you all had talked about launching the spa in China in late November and now I hadn't heard it delineated to just the sales leaders there. Was that a supply issue to have enough of them kind of breaking it up like that or was there a particular reason that you're staging it into the market?
Dan Chard: Yes, the supply chain is part of the equation there, Amy, and frankly, we are experiencing a little bit of a fourth quarter squeeze on galvanic spa supply around the world. So in working with our China management team, we elected to just stage this in two phases with a launch to sales leaders and then a launch to the general public in the first quarter, which we think frankly will also help fuel the momentum for the product in Q1. So, not necessarily a bad thing, but we are seeing some pressure on our supply chain, and – but we will have that pressure relieved by the first quarter.
Amy Greene – Avondale Partners: Are you guys – because of the demand that you're seeing in China particularly if they're willing to buy in Hong Kong, are you going to be able to price it differently or at a higher price point in that market and possibly help offset some of the margin softness?
Truman Hunt: We would price it very similar to where it's priced in Hong Kong and wouldn't anticipate a big difference market to market. It has very good margins there and we would anticipate – it's not going to be a deterrent I guess to our margins.
Amy Greene – Avondale Partners: Okay. Thanks, guys.
Operator: And your next question comes from the line of Mimi Noel from Sidoti & Co. Please proceed..
Mimi Noel – Sidoti & Co.: Hi, Ritch, hi, Truman.
Truman Hunt: Hi, Noel.
Mimi Noel – Sidoti & Co.: Ritch, would you – I'm looking at $48.4 million in the U.S. in the third quarter. That's accurate, right?
Ritch Wood: I will check my modeling. I think we are actually a little bit higher than that going forward. We see actually tremendous momentum in the U.S. right now and with the convention that was just last week which will pump a couple million dollars, I think it will be a little higher than that.
Mimi Noel – Sidoti & Co.: I mean actual for this third quarter that just concluded. I'm looking at $48.4 million over $47.2 million last year I can't get a double-digit increase on that.
Ritch Wood: Yes, there's $5 million in the prior year that was purchases by foreign sales leaders.
Mimi Noel – Sidoti & Co.: So it's an adjusted number that gets you to a double-digit year-over-year sales increase?
Ritch Wood: Yes, you are exactly right.
Mimi Noel – Sidoti & Co.: Okay. That's really all –
Dan Chard: International convention meeting in the third quarter of last year here in the U.S.
Mimi Noel – Sidoti & Co.: Yes. Okay. I guess the one thing I wanted to ask about there weren't too many questions on ageLOC in the Q&A. But one thing that's hanging over my head a little bit is, should we be looking at a maturation of galvanic spa outside of China?
Truman Hunt: We're keeping a close eye on that and frankly, I personally expected to see things slow a bit in some of the markets where galvanic really took off first and specifically Europe. And the encouraging thing to me has been that there has been no slowing in galvanic yet.
Mimi Noel – Sidoti & Co.: So does it makes sense to postpone ageLOC then or do you not think that ageLOC is really going to rival galvanic spa anyway?
Truman Hunt: One could make the case that, that would be the thing to do. We really have to stage our major product launches in conjunction with our convention schedule. And so going into 2009, we have our 25th anniversary international convention in October of 2009 and that will be the place where we really stage a launch of ageLOC to the rest of the world outside of the Americas and Europe.
Mimi Noel – Sidoti & Co.: So using the U.S. as a proving ground for the next couple of quarters and then the real big launch isn't for close to a year.
Dan Chard: Right.
Truman Hunt: And I just comment kind on that runway we're seeing. Europe is now about three years into this galvanic spa, the U.S. and Korea closer to two years, and then Southeast Asia, Japan. We are about a year into our restaging and even less, Southeast Asia just a couple of quarters. So we're just getting going. That's part of the reason why we hesitated and not launched the galvanic gels with ageLOC in Asia because the product is just getting going there, still lot of runway, lot of momentum to build before we move this to the next phase. So I think the product sort of cycle is just – in many markets it's in very initial phases of the cycle.
Joe Chang: I think, Mimi, one thing on the strategic side, there is a more seamless transition or connection between the galvanic spa and the ageLOC technology. So (inaudible). So essentially I think there will be less of conflict as we introduce and launch ageLOC technology. It is evolution of the galvanic spa story rather than taking our distributor feel into a totally different direction.
Mimi Noel – Sidoti & Co.: So it could be seen as a complementary product?
Joe Chang: Yes.
Mimi Noel – Sidoti & Co.: Does it have the potential that the galvanic spa has as far as size?
Joe Chang: We think so and the galvanic spa depending on the maturation at each market and all obviously, the R&D folks are also focused on making sure that we will refresh that particular technology. So and both the ageLOC technology and the galvanic spa technology, they're working hand in hand and it's just a matter of how we – it is a seamless strategy I think we have in-house now that we do not want to do two things to conflict with each other.
Mimi Noel – Sidoti & Co.: Got you. Thank you, Joe. Thank you, Truman. Thank you, Ritch.
Truman Hunt: Let me just add to that too by the way. One of the things that is a little bit lost frankly in the discussion of galvanic is the fact that data and research shows that other Nu Skin products apart from just the galvanic gels are significantly more effective in their impact when used in conjunction with galvanic usage. So the galvanic spa itself is really having a tremendous impact on Nu Skin sales generally which is probably why we're so excited about it.
Mimi Noel – Sidoti & Co.: Okay. Thank you. Sounds good.
Truman Hunt: With that, let me just thank everyone for joining us on the call today and you can probably hear from our comments that we are hoping that analysts and shareholders will be able to see through the currency impact on the third quarter and fourth quarter and realize that our business is healthy. We have continued to see good momentum in our business. We look forward to that momentum continuing in 2009. As I mentioned on the last call, it's a good time to be a direct seller. We look forward to presenting our 2009 plans to you at our annual investor day on December 4th in New York City and we thank you for joining us today.
Operator: Thank you for your participation on today's conference. This concludes the presentation. You may now disconnect. Good day.